Operator: Good morning ladies and gentlemen and welcome to the 2020 Second Quarter Results Conference Call for Russel Metals. Today's call will be hosted by Marty Juravsky, Executive Vice President and Chief Financial Officer and John Reid, President and Chief Executive Officer of Russel Metals. Today's presentation will be followed by a question-and-answer period. [Operator Instructions] I'll now turn the meeting over to Marty Juravsky. Please go ahead.
Martin Juravsky: Thank you, Chris. Good morning, everyone. I plan on providing a brief overview of the Q2 highlights to give a context for the key developments that we have seen. If you want to follow along, I'll be using the PowerPoint slides that are on our website. Just go to the Investor Relations Conference Calls part of the website and you'll be able to find it. On page three, you can read our cautionary statement on forward-looking information. So, let me start on page five with a few summary observations. One, it was obviously a very unusual quarter with developments related to the COVID-19 challenges. In fact, the quarter involved really two distinct segments; one, the decline that we saw coming into the quarter and two, the pickup that we saw coming out of the quarter. With this backdrop, we are really very proud of our various businesses in proactively adapting and adjusting to the quickly changing market situations. First and foremost, we put in place the right protocols to focus on safety. Even though we were deemed an essential service and we continue to operate, the overall economic conditions impacted activity, particularly the front part of the quarter. In order to adapt, we made a series of rapid changes throughout the quarter relating to staffing, which is down around 15%, cost containment, discretionary spending, which is also down a fair amount, and inventories as we pulled back on our procurement activities. I think the results for the quarter show the flexibility of our business model. I think as most of you are aware variable costs are a big part of our business. They represent around 85% to 90% of our total cash costs; will include cost materials, employee expenses, other operating expenses. And it's just one example. Our variable employee expenses are down over 25% versus Q1 of this year and down over 50% as compared to the 2019 average. Countercyclical cash flows, we talked about this a lot. In the quarter, we generated CAD95 million from non-cash working capital this quarter. Diversification across North America, just as COVID-19 impacted the global economy in very different ways; we've seen that our risk has been reduced by having a broad geographic platform in very diverse customer base. We do not have all of our eggs in basket. Lastly, our capital structure is in great shape with our net debt coming down and our liquidity going up substantially in the quarter. If you go back to our Q1 conference call, we talked a lot about the ability to generate cash flow in this part of the cycle in our think our Q2 results provided that illustration. If you go to our financial results on page six, from an income statement perspective, the gross margin percentage remained around 19%, but the dollars came down with lower sales activity. As compared to Q1, our sales in Q2 declined by about CAD227 million and gross margin declined by about CAD42 million. But our EBIT and our EBITDA only declined by about CAD4 million. As mentioned earlier, we quickly adapted to the environment and we're able to bring down our net cash costs on almost a dollar-for-dollar basis with the decline in gross margins. This bottom-line was achieved despite a couple of notable items. One, with our share price increasing in Q2 versus a decline in Q1, the mark-to-market on our stock-based compensation was a CAD3 million expense in Q2 versus CAD4 million recovery in Q1. This is non-cash, but it flowed into our EBITDA. Also, we took an additional CAD5 million provision related to the potential risks in our inventories energy in particular, this is also a non-cash item, but it flowed into our EBITDA. Overall, given the strong financial profile of our company, we're pleased to once again declare a dividend of CAD0.38 a share for our shareholders. From cash flow perspective, CAD95 million reduction in working capital with the biggest shift seen from accounts receivable. Our credit team did an absolutely terrific job and our pace of collections was well above normal. We also lowered our inventories and I believe that depending upon the future economic conditions, we'll make further progress on inventories in the months and quarters ahead. CapEx at CAD5 million is pretty modest and there are no large commitments on the come. From a balance sheet perspective, net debt declined from CAD443 million last quarter to CAD368 million at the end of June, or CAD75 million reduction. As a result, we're sitting on a net cash position of about CAD77 million excluding our term debt and this gives us a lot of dry powder and operational flexibility. For shareholders' equity, there's an accounting adjustment because of the FX shift at quarter end -- second quarter versus quarter end quarter one. The bottom-line is that we made really good progress in driving free cash flow and I believe we still have more in the coming. If you go to page seven, we have some segmented P&L information. The service centers did well under some really tough market conditions. Despite revenues coming down to CAD373 million, our gross margins held in and around 21%. In fact, we generated a higher operating profit in Q2 than we did in Q1. Tons shipped were down 14% versus Q1, which is better than the industry data that we've seen among our competitors. The stability of our gross margins in a declining market, in many respects, was due to the value-added processing and the investments that we've made over the last number of years. As mentioned earlier, the team's ability to adapt quickly to the evolving market was a big factor in driving down costs. In energy, there were several macro factors on top of COVID, including low energy prices and drilling activity levels, along with weather delays in Western Canada coming out of breakup. That said, we have two distinct sub segments within our energy business with different results. The field stores/Comco segment continue to hold a better in the quarter, as it actually posted an operating profit of CAD4 million. That operation was supported by infrastructure activity related to the Trans Mountain project. By contrast, the OCTG and Line Pipe part of the energy segment incurred a loss. We are very focused on inventory management across all of our business units, but in this segment in particular. The distribution segment managed really well in a very tough environment led by the Canadian business, which typically structures its buying and selling activities on a back-to-back basis. So, there's relatively little risk and fairly stable margins. On page eight, we have segmented balance sheet information to provide a frame of reference for some of our recent capital allocation shifts. Our segment, net identifiable assets declined by CAD129 million since year end. Most of the shift was on the energy side. We lowered the energy segments identifiable assets in both absolute dollars as well on a relative basis. As an example, metal services was 48% of net identifiable assets at year-end and it's now 45%. On the energy side, most of that segments identifiable assets are working capital with very little fixed assets. More specifically of the CAD612 million of identifiable assets within the energy segment at June 30th, almost half is OCTG and Line Pipe working capital. As I said earlier, inventory management of that segment is a key focus. Now, I know outlook is probably a big question for a lot of people. So, let me just say this in terms of overall outlook for our business. We aren't very good at predicting the future, but we are really good at adapting to it. This quarter demonstrated that. So, from my perspective, regardless of how economic conditions evolve, we are really well-positioned from both an operational and a capital structure perspective to take advantage. In closing, on behalf of John and other members of the management team, I'd really like to express our appreciation to everyone within the Russel family. This quarter presented some really unique challenges and we couldn't be more pleased with the teamwork and resourcefulness of our colleagues. So, operator, that concludes my introductory remarks. If you now open the line for any questions, please.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Michael Doumet, Scotiabank. Michael, please go ahead.
Michael Doumet: Yes, hey, good morning guys. So, first question. I just want to know if you guys could provide some specifics on the wage subsidy in the quarter and it's contribution to each segment? And further just as released the SG&A margin progression given expectations for the wage subsidy and how sustainable do you think one of the EBIT margins are into the second half?
Martin Juravsky: Sure, why I don't I tackle that Michael. So, in terms of wage subsidy, we haven't disclosed the specific number, but what I'd say -- and part of the reason is because we look at our staffing costs in totality, and there's multiple elements attached to it. We think the government's initiatives actually support employment, made an awful lot of sense to be getting companies through this period of time and we reacted to that appropriately. What we've included is some disclosure of the nature of the beast in terms of how the methodology works. So, in the quarter, we qualified for the subsidy, we've benefited for 12 weeks of it. The maximum per employee is CAD847 per employee. Not everybody gets the maximum. So, on average, we're less than the maximum, which is nature of the beast. And in Canada, we have roughly 1,800, 1,900 employees. In terms of the go--
Michael Doumet: Sorry.
Martin Juravsky: In terms of in terms of the go-forward, the way we look at our business model is really simple. In some ways, it's back to what we talked about before. We look at cost in totality, and margins in their totality and in many cases, when we see what's in front of us, we're just going to have to adapt to varying circumstances. So, as the way subsidies start to fall off towards the end of the year, we'll make other operational decisions and try and work towards getting the appropriate bottom-line and appropriate return for our shareholders. So, we think that that was a good incentive in terms of keeping employment at appropriate level during this past quarter, and as that starts to roll off, we'll continue to revisit over various cost line item, overhead, headcount and the like.
Michael Doumet: Okay. Thanks Marty that's really good color. And maybe just turning to the energy product. Not a huge surprise, but the inventory turns has really dropped there. So, maybe given some of the softness in the OTCG pricing, I mean is it fair to expect continued margin pressure through the second half until say -- I mean inventories are adjusted? How should we think about mix between OCTG and oilfield stores in the second half as well?
John Reid: So, I'll take that one. You like more -- go ahead, go ahead Marty.
Martin Juravsky: No, go ahead, John, sorry.
John Reid: So, the Line Pipe and the OCTG is definitely where we're having our issues with the turns and again, just the volume slowed down when you fell the rig count levels and like during breakup, we were at a low point of 13 which we thought was bounced back, was it 45 as of this morning? Again, that's still up 67%, 68% from last year, the U.S. is down to 251. So, there's just not a lot of demand out there for that product. And so we'll continue to work through that. But the terms are much lower than we want in that segment. Flipping over to the field store side, our turns are down slightly, but they're still in, they're in a pretty good spot for us. We continue to turn the inventory, we adjust quicker there, because that part of the business, again, is there for the life of the well and maintain -- and the maintenance piece, along with projects like the Trans Mountain that we're participating in phase one and phase two throughout the end of this year. So, the turns there are at an acceptable level, although on the low end, but they are at an acceptable level. So, our focus point, as Marty alluded to earlier, really beyond OCTG and Line Pipe. And again, it's just a demand issue right now, it's very challenging, plus you have an overstock from all distribution.
Michael Doumet: Okay, great. And maybe just a follow-up, John. I mean, you have to tie in that inventory discussion with your expectations on working capital requirements for the second half. I mean again, things can change obviously with the market and presumably even, you should your businesses are seeing different trends. But I'm interested to hear and how much maybe excess inventory you guys think you have, again, particularly in the OCTG or anywhere else in your business?
John Reid: Yes. So, right now on OCTG and Line Pipe, we're carrying probably a turn and a half to two turns of inventory versus what we would like to have. We'll continue to try to bleed that off, we're really watching -- and the orders coming in right now are sold with the exception of one operation that is operating at a profitable level and they continue to have a program that goes forward that is locked in; it's just not sold upon arrival. So, -- but we basically changed all of our purchasing to reflect only items that are sold coming in until we thin our inventory down to an appropriate level. So, I think we'll continue to throw off working capital there. Again, it will be based on what volumes are available in the market at the low rig count; it will be a slow grind to get that inventory down.
Michael Doumet: Okay, great. Thanks for the answers.
Martin Juravsky: Thanks Michael.
Operator: Thank you. Your next question comes from Devin Dodge, BMO Capital Markets. Devin, please go ahead.
Unidentified Analyst: Good morning. This is Jim [Indiscernible] calling in for Devin. Can you guys maybe give us a little more color on some of the demand trends in your service centers across your regions and end market?
Martin Juravsky: John, do you want to--?
John Reid: Yes, I'm sorry. You broke up just a little bit. I'm assuming you said demand trends, is that right, Jim?
Unidentified Analyst: Yes.
John Reid: So, if you look across our service center segment, non-res construction held up really well compared to what's going on in the world right now with the pandemic. And so we've seen -- we saw slight pullback early on in April with that as everybody adjusted to the essential versus non-essential. It came back pretty quickly in May and June, as all our demand did. And so what we're starting to see is construction, the solid -- those jobs that were put on hold are starting to move forward. And that's really the bright spot that's out there. Other segments that we've seen in the heavy equipment, ag, those have slowed down, impacting 20%, 25%, 30%. And we're seeing other manufacturing end use market slow down as well. So, the biggest thing we watch, when we look at construction for the go-forward is how much of this is a tail on a project versus how much is in the architectural billing index going forward, which represents nine to 10 months out. And that that index in the construction world, the ABI index, is actually improvement, still below 50, which is a sign of growth, but it's actually improved quite a bit in the last two months. So, we're hopeful that that tail will carry on into next year. The other end markets, obviously, that we serve are energy related. Those were down dramatically; 50%, 60%, 70% based on the fall in the rig count and the -- depending on where you are and what part of the country. We are seeing some projects in the energy go-forward, Trans Mountain, as we look at Western Canada, there is some movement there going forward. But overall, most of our energy segments are down right now. And just for you Jim, we don't participate in automotive. And so that's something that we can -- we watch it, but as it relates to our competition, it could creep into our market, but we don't participate in automotive other than maintenance.
Unidentified Analyst: That's great. Thanks. Second question. Do you guys expect industry M&A to pick up and has there been an increase in seller interest?
John Reid: Yes. So, we were actually seeing a fair amount of deals coming across and -- especially relative to first quarter and into the year. Some of those deals are obviously more liquidation type deals where people are looking to get out. We are seeing some reasonable things to look at right now. So, we think there are some opportunities in M&A for us in this market that we will explore and we'll just see where they go.
Unidentified Analyst: Got it. And one last question. Have you guys been seeing increased competitive pricing pressures in the market?
John Reid: Yes, across the Board, in every segment, strongest is obviously OCTG and Line Pipe. We're seeing it in service centers, and again, I want to commend our service center for the tremendous job maintaining margin. Typically, if you look back at our historical performance and the falling price environment, you would see margins drop as a gross margin percentage, they've not done so. And that's a nod to our value-added processing that's out there as we continue to grow that segment of our business as a percentage of our sales. It's holding that margin steady and so we're very pleased with the performance there and with our service center's overall financial performance. Yes, there's margin pressure in all three segments.
Unidentified Analyst: Got it. Thanks guys and I'll turn it over.
Operator: Thank you. Your next question comes from Frederic Bastien, Raymond James. Frederic, please go ahead.
Frederic Bastien: Hi. Thanks and good morning. Guys I'm just wondering how much cash you can reasonably expect to release from working capital in the second half? And is it fair to expect that most of that will come from inventories?
Martin Juravsky: Hey Fred. Yes, I think your answer your latter question. Yes, I think it's fair to say it's mostly going to come from inventories. As I mentioned earlier, on the receivable side of it, we had a really, really strong collection quarter and our receivable levels have been brought down in really good shape from that that perspective. There's more work to be done on the inventory side of it. It's a little stickier in terms of ability to move it. But it does move over a period of time. I mean, and that's where the focus is right now. So, I think if you kind of stand back and say, where are we going to be for the back half of the year? Some of it is going to be a function of overall economic activities, particularly on the service center side of it, but notwithstanding that, I think the biggest focus in terms of inventories coming down is on the energy side of it. So, almost perspective of economic conditions, we’ll be bringing inventories down on the on the energy side over the course of the next few quarters and even beyond the next few quarters. Orders of magnitude, we've probably got another 10% to go is my order of magnitude guess.
Frederic Bastien: Thanks. Thanks, Marty. Now it's hard for us really to make sense of the margins, when we have no clear idea of what the subsidies were. Is there a way for you to provide a bit more color on that, or at least, at least provide us with some goalposts or some an estimation of what these might have been?
Martin Juravsky: Yes. Yes. So, for the building blocks to get there, on the Canadian side of it, which is really where the subsidies are, is really related to staffing levels, and there's a maximum amounts per person, and the maximum amount per person is CAD847 per employee per week, 12 weeks of benefit in the quarter. And we have in Canada, around 1,800 or 1,900 employees. And not everybody gets the maximum, because that's driven off of where everybody's individual salary or wages are. So off of there, you get orders of magnitude for that math.
Frederic Bastien: Okay. That's going to be an interesting exercise. John, just switching gears here. Are you seeing any green shoots coming out of energy either on both sides of the border?
John Reid: Right now we just don't see a lot of pickup for energy for the balance of the year. I think inventories, hopefully, will start to come in line from the distributor side and people's inventories will start to come down to reasonable levels. But we're not -- we're just not seeing a whole lot other than in Canada is benefiting from heavy oil, and the U.S. is basically shut in or kept off their heavy oil production, which is primarily the Dakotas and Pennsylvania area due to the cost to produce that heavy oil, and they’re primarily many rigs in the Permian and the low-cost basin where we do operate with our field stores. So, there is a benefit for Canada because there's a need for the heavy oil come across the border to run the refineries to do the appropriate mix for gasoline and to be used in different grades of gasoline that's out there. So, we've seen some lift there. And I think that will continue to happen, as long as all that's range about in this CAD40 to CAD45. As that starts to creep back up and sustain above CAD50 and CAD60, then I think you'll see the U.S. to start opening back up more of that heavy oil play.
Frederic Bastien: Awesome. My last question, John, what's the most important lesson you're taking away from this pandemic?
John Reid: I guess there's lessons and things that you reflect on is you're really proud of your people. First and foremost is the safety and the way that our people responded to it through our decentralized model. We had to take the approach. We're really centralized to get the combination of information, get it disseminated out to the team and how they reacted because it's very -- just as the pandemic attacks us in different places in different regions of the world differently in terms of number of cases, positive cases, our safety our safety team has reacted appropriately. In our case count is extremely low. We've had just a handful of interruptions. And so I'm just very proud of our people for how they handled the safety, how they've taken the welfare of everyone within the Russel family, their suppliers and their customers to make sure we're operating safely. And so some of the lessons that we've learned, obviously, as you go through any downturn, you can look through your operation. There's an opportunity to go back, tighten your belt. We do run with the lowest operating cost on a percentage basis in the industry, but we're looking at ways to do that better. It's really challenging our people. And we continue to find ways to do that better through technology, through different operating efficiencies with the new equipment that we have out there. And then really, we're learning that our value-added processing, growth initiative and service centers is really stronger growth opportunity in a downturn than we anticipated. So there are a lot more customers that are looking to us now to do that. To give you a reference point, we're bringing on a new tube laser and flat laser to our Trenton, Georgia facility we'll be shifting work over where we've been developing that customer base from another facility, we're already booked out at one full shift and well into the second shift. And we’ve got to started operation we're still probably 30 days out from starting operation. So we're seeing that stickiness of those customers who want us to do more and more value added processing as they've had to pull back as well. So we're very pleased with that. Some of the lessons learned on the energy side, again we're looking at our purchasing trends, specifically in OCTG and line pipe. Our import trends where you get called with material on the water and trying to evaluate our buying patterns to make sure that we can maintain a turn level that's reasonable to ultimately get to level we want to return to our shareholders. And so we're really working through that closely. And we're really happy with our field store. So can we continue to see, even in this low, low rig count, that are continuing to provide that maintenance component, although there's not the project piece of their business that's out there. The maintenance component is there, and we can adjust scale and size very quickly. So we're very pleased with that.
Frederic Bastien: Awesome. That's very good color, John. Thank you very much, guys.
John Reid: Thank you.
Operator: Thank you. Your next question comes from Michael Tupholme, TD Securities. Michael, please go ahead.
Michael Tupholme: Thanks. Good morning. First--
John Reid: Good morning.
Michael Tupholme: Good morning. Thanks. First question just relates to the service center, demand and volume trends. Volumes were down 19% year-over-year in the quarter. I apologize if I missed this, but I'm just wondering if you can provide a bit of a snapshot as to how that looked at the end of the quarter just to get a sense for the progress as the quarter evolved. And then further to that, any indication as to sort of where things sit now on a year-over-year basis here in early August?
Marion Britton: Yes. John, you want to handle or you want me to…
John Reid: Yes, go ahead, Martin, I'll provide color then.
Marion Britton: Sure. So Mike, your premise is thought on, which is the entry to the quarter looked an awful lot different than the exit from the quarter. And April was obviously down a lot from March, May picked up from April and June picked up from May. And so when we look at the quarter as a whole, the June activity on a run rate basis was higher than the quarter average. But that being said, the June activity was still below pre-COVID levels, and it was probably below pre-COVID levels by I'd say about 5%. June activity is continuing on at a comparable pace to where things were at in June, you got some noise in July though, holidays in different regions, Quebec, Canada Day, 4th of July. So July is an interesting inflection point, just because of some seasonal dynamics. I think the ultimate test is going to be how things evolved into August where we're in September. But if you look at the step at the second quarter in its totality though, there were really two different stories of things dropping off pretty hard into April and then picking up at a reasonable level, but still slightly below pre-COVID levels by time we got to June.
Michael Tupholme: Okay. That's helpful. If down 5% year-over-year. By the time you got to June sounds actually quite good in the context of the environment we're in. Just wondering, do you think there was some sort of pent-up demand that maybe helped -- help those numbers a little bit, as you got into June and maybe July or is that do you think indicative of kind of sort of a reasonable run rate for the next little while absent further acceleration and reopening?
John Reid: So I think what we really saw pent-up demand has really jumped in the last half of May. And as we came out of April, it was so much thing -- so many things been just shut down. So really solid in May, was a little nervous going into June to see what -- June actually performed a little bit better. Again, as Marty mentioned, you get a lot of noise in July with all the extended holidays in Quebec, taking the two weeks makes it a little difficult. But what we're seeing is it looks like July is basically flat with June, with all the noise. August seems to be coming out at flat to slightly up from that. But I think we're going to move -- as I said in our press release, I think we're going to move in concert with the pandemic, and so you're going to have an uneven recovery. So we'll take two step forward, maybe one step back as the pandemic surges and it causes people to move back and forth in different phases of opening, obviously, children going back to school. There's one belief that's out there that that may cause the pandemic to surge for a period of time. So we'll watch that closely. But right now we're operating even or slightly above what we saw in June, so far in the quarter.
Michael Tupholme: Okay. That's helpful, John. And I suspect there are some regional differences, but just from a high level perspective, is what you're suggesting in terms of the volume trends, is that -- I mean, is that generally applicable across most markets, or is this really a mixture of wildly different things going on in different jurisdictions?
John Reid: It's typically applicable across. And again, you're going to see different market trends with -- but again, where you have an area that's not intensely impacted by the pandemic, typically is a low population area, that's not an intense steel user, because of the population, there's just not a lot of demand there. So the larger cities have a lot larger issues to deal with. The U.S. is obviously not dealing with here as well as Canada. So we're very pleased with what's going on in Canada right now. So we're seeing some rebound layer. Our U.S. operations actually were extremely strong in the service center side and the demand. I think we were only down 2%. So we were very, very pleased with what happened in the U.S. side, Canada is making strides to come back very strongly as well. So I think it applies across the board. Again, barring a large, large outbreak. Fortunately, we're not in some of the states that have been impacted dramatically other than Texas. And so right now, we haven't had to deal with that. Again, Canada is handling it so much better than the U.S. to date. So we'll just see how it goes forward as we continue to come and open up the economy.
Michael Tupholme: Okay. Thanks. Next question relates to steel prices, we've seen our recoil under some pressure may be leveling off here and potentially some possibility of maybe having found a bottom heading higher. But wondering if you provide any thoughts on that? I know it's difficult, but secondly, what is the pricing you've seen thus far through the second quarter imply for margins and service centers? Should we be thinking about service center margins potentially being down a little bit relative to the second quarter because of what we've seen with prices?
John Reid: Since the first part of your question and you're right, it appears that if you use hot-rolled coil as a proxy, it appears it's found the bottom. In that 440 range is bouncing off the bottom. Slightly scrap, which is the main driver for hot-roll coil or all steel pricing now. Actually, in the last few days, it's solidified. And we're seeing some potential lifts there, very uneven, though, where you see that come out. If you're looking in the Midwest scrap pricing for the U.S. that's down a little more than the southeast and primarily driven by exports. There's been a big drive from the export market from Turkey to buy scraps. That's driven that price up. So again, I think we'll follow scrap, as it moves. It look like it is firming. If you look at demand in steel mills are running at 59%. So there's plenty of room to bring up on capacity that could add extra capacity that would likely keep it range bound. However, if you look at the North American price right now, those prices on the world market, so that would mean imports are probably not going to be a big factor in Q3. And so really, we're fighting against ourselves to some degree there on pricing in the North American market. So as long as we balance capacity, with demand then there should be room to run on pricing. But again, I think it will remain range bound for the balance of the year.
Michael Tupholme: And any other…
John Reid: Service margins I think we are fairly strong in service centers, we're north of four. Continue to climb there with. Again, we've talked about before turning to a just a little slower in our Canadian service centers, compared to our U.S. service centers just due to geography and the timing trends to get material into the states. It's not made in Canada. So I think our margins will hold. And in fact, we may see some slight margin increases throughout the quarter. And as we get the rebalancing, material left will be flushed out, it may be carrying any higher cost than we replaced with the lower cost material. And again, as we continue to press forward trying to grow our value added initiative that should help the margins as well.
Michael Tupholme: Thank you for that. Just turning to the energy products segments, if you not had the NRVs, it looks like that would have been sort of breakeven on an EBIT basis, recognizing that field stores were profitable. Just wondering though as we look forward any sort of indications on how we can think about the margin profile or profitability of that business as a whole would be helpful for some comments there?
John Reid: So as Marty alluded to, you really get two subsets within the energy for us you could filed store margins, although they saw some pressure that seemed to normalize now maybe a couple points below where they are generally on gross margin percentage. It's really OCTG, and Line Pipe there's just the margin challenges. So there's just the order count is so low, and people doing projects due to the nature of their ability to borrow money for projects right now is very limited. So there are only a handful of projects that are going and that's just creating an intense margin pressure in that environment for us, so I think any, any lift that we get from the field stores may be offset from OCTG and Line Pipe, we'll continue to watch OCTG it looks like it's leveling on price, it's holding up a little bit better than Land Pipe, Line Pipe is continuing to drift with flat roofs starting to set the bottom and they've been the main substrate for both products. I think that we should see that it's usually a two to three month lag. So we should start to see that bottoming as well. But there's so many bills that are idled or short term or indefinitely right now in both Canada and the U.S. I think we'll have capacity to then have capacity coming offline to rebalance inventories there over time. So we're hopeful going into Q4, Q1 of next year that we'll see the inventory start to rebalance throughout the industry as a whole and provide some room for margin expansion at that point.
Michael Tupholme: Okay. That's helpful. Thanks, John. And then lastly, again I apologize if I missed anything on this, but the renewal of tariffs against aluminum by the U.S. -- Canadian aluminum by the U.S. just yesterday no aluminum is not a something you deal in but you know, can you talk about what the potential reintroduction of steel tariffs if that were to happen what you think that would mean both overall as well as for Russell?
John Reid: And -- you want to talk about steel and aluminum there because again --
Michael Tupholme: I'm just -- I mean, -- don’t want to talk about aluminum. So just using looking at what happened with the reintroduction of renewal post tariffs and thinking about the possibility that they could also bring back tariffs under 232 against Canadian steel. So just wondering more specifically about what you think that would mean, if that happened on steel side?
John Reid: Firstly, I was highly unlikely. Of course, I thought, I'm somehow enlightened the first time so, but if it does happen, it's again, we do so little across the border. And in all of our products that I think it would be it would be healthy for Russell. And for the service center industry as a whole is where all the mark on business plus your value added component. So it would cause prices to raise obviously about 25% very quickly. And that would be helpful for us in that regard. With demand levels being where they are, right now, again, I'll be in a challenge to get that in for steel, but anything that's going to cause that price increase would be helpful for us it could be harmful for some of our customer base and how they would have to adapt to it so it could hurt demand. But again, we would have to look at it, you can tell what it did for us back when they implemented those early on base drove us up.
Michael Tupholme: Right, so it sounds like you wouldn't expect it, if it were to happen. You wouldn't expect the reaction to be much different than it was last time is what I'm hearing?
John Reid: That's right. It's just -- it's just on a relative basis to demand where demand is today versus where it was. So that would be the only difference. I think.
Michael Tupholme: Okay. That's helpful. I'll turn it over. Thank you.
Operator: Thank you. Your next question comes from Anoop Prihar, Stifel GMP. Anoop, please go ahead.
Anoop Prihar: Good morning Marty. Just with respect to the government subsidies that you guys received in Q2, is that something that will be repeated in Q3 and Q4 or is it a one-off deal? And do you have to repay those funds or is it an outright grant?
Martin Juravsky: So the second question, first, it's an outright grant. And to answer your first question, so the government has done this in phases and they introduced the revised rules for the renewal phases, post Q2 and effectively they go to the fourth quarter, but the impacts of them start to get tapered off as you get to the back end of Q3 and then into Q4. So the way we look at it and assumed the way the government looked at it, as well as it was a stopgap measure to support employment in the Canadian economy as it was going through a transition, we think that worked, and it was helpful, and it was impactful. But it's running its course. So as I said earlier, one of the things that we're always doing is revisiting costs, or totality. So to the extent that we are going to see some tapering off of those wage subsidies towards the fourth quarter -- sorry, into the fourth quarter, we'll be making other adjustments along the way, depending upon what's otherwise going on in the broader economic conditions. So there were some benefits in Q2, they'll continue to be some benefits in Q3, the way the program is set up, and then they taper off pretty substantially in Q4.
Anoop Prihar: Okay. Thank you.
John Reid: Anoop, just to follow-on, they're obviously just a tremendous amount of cost related to COVID and the rapid pace when we had to implement this across all of Canada and the U.S. And so the subsidies actually afforded us time as we were able to, we had to incur costs that were obviously unexpected, large degree, soon these large cost we had some offset with that with the wage subsidy, it gave us time to make adjustments to get things and we needed to appropriately protect our people to get through the disruption. And we can continue on to keep it as Marty mentioned, the employment levels appropriate with our revenue, and we now have been afforded that time that we can go ahead and make the adjustments necessary.
Anoop Prihar: Lastly, just on that point, and can you give us a rough estimate of what you think your one-time costs have been today with respect to dealing with COVID?
John Reid: To quantify in a specific number, I would be guessing, if I gave that without that, I would say, they're not materially off, but we actually received a subsidy. So we got I think it was more of a neutralizing effect there than anything.
Anoop Prihar: Okay. Well, that's helpful. Thank you.
Operator: Thank you. [Operator Instructions] Your next question comes from John Novak, CCL. John, please go ahead.
John Novak: John, can you talk about your thoughts with respect to right size for the right sizing and repositioning of your energy business?
John Reid: Yes, as we look at -- as we look at that, John, obviously, we like the field store business Comco and or Apex, rebranded Apex and states under elite supply. We like that side of the business. It's very much like our service centers similar in turn similar and margin profile, high service business. And so it's something that we see as a platform to continue on, we look at OCTG and Line Pipe which is just becoming more and more structurally chap. And so we're taking different avenues and different looks at how to reduce our capital exposure there. And we may end up shrinking the size of the business long term for Russell as to what it represents as far as our total portfolio.
John Novak: Okay. Thank you. And Marty, was did you defer any payments with respect to federal state provincial taxes that will fall into the second half of the year?
Martin Juravsky: Yes, yes, would -- it is a flow through in the second quarter.
John Novak: Because I think last year, you had a large tax payment in the first half. It doesn't appear that you had one this year that that happened in Q3 or Q4?
Martin Juravsky: No, no, no, not with the level of profitability.
John Novak: Okay, I'm thinking of last year's taxes that we're doing this year, right?
Martin Juravsky: No material issues there now, no. No big shift.
John Novak: And Marty, I'm still confused why there's the unwillingness to disclose what the government subsidies are? Every other company is doing it some are including it in their footnotes, it's really hard to make sense of your margins. And it seems that, you know, you just, you're introducing unnecessary volatility and forward estimates without getting some sense of what those were?
Martin Juravsky: We'll look, John, we've seen variety companies, frankly, all over the map in terms of their disclosure on this topic. We've included the disclosure on the building blocks associated with it. And you know, as we said before, a couple times in different ways, the subsidies were meant to provide some incentives to retain employment. So we view that as a component of our overall employment costs. And it's a single component. It's not the -- it's not, it's not in its entirety. So the building blocks are all there in terms of the disclosure associated with what the subsidies are.
John Novak: Okay. Thanks.
Operator: Thank you. There are no further questions at this time. Please proceed.
Martin Juravsky: Great. Thanks, operator. Well, we appreciate everyone's interest and discussion for Russell on this second quarter conference call. If you have any further questions or follow-up, please feel free to give myself or John a call. Again, I appreciate it. And we look forward to staying in touch and talking again at the end of the third quarter.
Operator: Thank you, ladies and gentlemen. This concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.